Jacob Lund: Good morning, and welcome to Investor's Results Call for the Third Quarter of 2024. I'm joined  today by our CFO, Helena Saxon; our CEO, Christian Cederholm, who are eager to give us their presentations. After that, as usual, we will be opening up for questions both via the call -- via our operator on the call and online. And with that, over to you, Christian.
Christian Cederholm: Thank you, Jacob, and hello, everyone. Let me start with a few general remarks on the quarter. We continue to see good solid growth in the subsidiaries in Patricia Industries, with 7% organic top line growth and an adjusted operating income that increased by 8% year-on-year. Also, we saw high activity across all parts of the business and the portfolio. We had more than SEK 2 billion in investments in Patricia, including 2 strategic acquisitions, add-on acquisitions in Piab. Also on the listed side, we've seen lots of acquisition activity, add-on acquisitions included and also other important future-proofing projects, including the JV announced by Ericsson with 12 of the leading mobile operators in the world. Finally, we continue to operate in an uncertain and unpredictable world where we stay focused on the stuff that we can impact and affect, including working with efficiency, agility and always with a mind to future-proof our companies. So -- specifically then on the numbers, we grew adjusted net asset value by 2%, and we saw a total return of 8% compared to 4% for SIXRX. Listed companies had a total return of 1%, where several of our larger holdings performed below their benchmark and their peers in the quarter. Year-to-date, performance remains strong with TSR of 23% in listed companies versus the benchmark index SIXRX of 15%. Within Patricia Industries, the portfolio companies reported solid growth, as I mentioned by way of introduction, 7% organic growth on the top line and about 8% growth on adjusted earnings. Investments in EQT are up by 7%, entirely driven by EQT AB's strong share price performance, while the fund investments remained roughly flat. At the end of the quarter, our net asset value stood at SEK 986 billion. We have our 3 business areas, and I'll go through them one by one. Starting with listed, which represents about 70% of our total assets. Total return was 1% with mixed returns in the individual companies. Our companies proceeded, as I mentioned, with a number of strategic initiatives for future-proofing. Let me mention a few of them. SEB announced a new organizational structure, reducing the number of divisions to execute on a strategy and to further strengthen the customer focus and increase the time to market or improve time to market, faster time to market. Ericsson created a joint venture with major telco operators to combine and sell network APIs on a global scale. This is one of the potential growth avenues that Ericsson has identified. And ultimately, this is about unlocking the full potential of 5G networks. Finally, the Board of Electrolux appointed Yannick Fierling, who has extensive industry experience, not the least from Haier and Whirlpool. He joined the company early October and will officially take over the helm as CEO early next year. Now over to Patricia Industries, which represents a bit more than 20% of assets. Total return was 3%, driven by earnings growth despite some negative headwind from FX. Our major subsidiaries grew sales organically by 7%, as mentioned, and operating income on an adjusted basis increased by 8%. A key priority for the Patricia Industries companies is to strengthen through add-on acquisitions. This complements organic growth and well executed, it's a great way to add people, products, technologies and access to new markets and customers. During the quarter, Piab announced 2 significant add-on acquisitions, FeiYun and Alum-a-Lift. Total enterprise value amounts to SEK 1.9 billion, of which Piab themselves financed about SEK 0.7 billion with own cash at hand and debt, and the rest was through support from Patricia Industries. Looking at these 2 acquisitions in a bit more detail, FeiYun is a China-based provider of solutions and components for vacuum conveying or, for example, powder and granulates. Alum-a-Lift is a U.S.-based provider of electronic lifting trolleys. They both add portfolio of great products and strong brands, new customers in several industries, including semiconductor, battery, food and pharma, et cetera, and very experienced and skilled people and teams. And in combination, these acquisitions add approximately SEK 0.5 billion of sales to the Piab Group with good profitability. Together with the companies, we work continuously with scouting and executing on add-on acquisitions. However, as we've said before, when it comes to the completion rate in terms of number of companies and amounts deployed into add-on acquisitions, it is inherently lumpy, both on a quarterly basis but even on a yearly basis. Looking a bit more into detail on operating performance then, let me highlight a few themes. Most companies reported good growth with significant contribution from new products. Laborie, for example, both Optilume products are off to a good start with significant contribution from the urethral strictures product. In M�lnlycke, we saw meaningful contribution to growth from the preventive assortment, so basically prevention of pressure ulcers. For example, the Mepilex Border Sacrum, which is designed to prevent sacrum pressure ulcer and the turning and positioning solutions like Tortoise. Generally, margins held up well, supported by stronger top lines and operating leverage, offset by continued significant investments for future growth. M�lnlycke specifically then, 9% organic growth with all business areas and all regions contributing. The EBITDA margin was largely unchanged. Wound Care grew 9% with good growth in all regions. And as I mentioned, strong support from new products. ORS grew 7% with volumes, mix and price all contributing to the growth. Following a number of challenging quarters, we saw again that Gloves continued to grow, supported by an easing U.S. market as well as notably relatively easy comps from last year. On a reported basis, the last 12 month sales and EBITDA of the entire group, including our 40% in Tre was SEK 66 billion and SEK 16 billion, respectively. Moving on to the third business area, investments in EQT, about 10% of our net asset value. And as you know, about 60% of that consists of our shares in EQT AB and the rest is our fund investments. Here, total return amounted to 7%, driven by the strong return in EQT AB, while the fund investments were more or less flat. Remember that the fund values are reported with a 1 quarter lag. Investment activity remained high and several exits have also been made. Galderma, for example, which was divested earlier this year, represent a significant part of the proceed that we received this quarter. During the quarter, EQT also announced a target size of its new Asian fund, Fund IX. We intend to invest in this fund, giving us an exposure to attractive opportunities in India and other Southeast Asian countries. As we have communicated before, we can invest up to 3% free of carry in all EQT funds. To wrap up then, our strategy remains the same. To continue to deliver, we focus relentlessly on performance, on portfolio and on people. Performance is basically about profitable growth here and now and investing appropriately to ensure a strong and bright future as well. Portfolio is about making sure for us and each company that we are exposed to attractive industry segments. People.  This is about attracting and retaining people, both for Investor and our companies and our company's Board. This is crucial for our model to successfully drive performance and transformation in the companies. If we do this well, we will be able to deliver on our strategic priorities to grow net asset value, to pay a steadily rising dividend and to deliver on our ESG targets. all, of course, with the purpose of creating value for people and society by building strong and sustainable businesses. With that, let me now hand over to Helena.
Helena Saxon: Thank you, Christian. Let's have a look at the net asset value -- this is going too quickly. The growth in net asset value -- is there something on the slide?  No, perfect.  So the growth in adjusted net asset value over the years is depicted on this graph. And we can see that the end of the quarter, we landed at a new all-time high of SEK 986 billion. And this means that the average annual growth with dividend added back has been 19% for the last 5 years compared to SIXRX 13%. So looking at the total return by business area, we can see that the performance has been mixed, 1% for listed companies, 3% for Patricia Industries and 7% for EQT. While looking at the year-to-date numbers, performance is stronger with both listed companies and Patricia Industries up more than 20%. So moving over to listed companies and looking at the company's performance in more detail, we can see the performance is mixed. And there were some highlights. Ericsson, Sobi and Nasdaq performed really well, while the larger companies in the portfolio had a more flat development and underperformed SIXRX. Husqvarna issued a profit warning in September. This graph shows the NAV contribution in absolute terms, a similar picture. And then over to Patricia Industries. There, the SEK 219 billion, including cash increased by 3% to SEK 225 billion, including cash. And this was driven by the operating performance that Christian has already mentioned. Earnings and cash flow were strong. Multiples also improved, but currency, and that is the Swedish krona strengthening was a major headwind in the quarter. Overall performance was good. Many of the companies or most of the companies in the Patricia portfolio increased its value. But please note that capital was contributed to Piab, SEK 1.2 billion and also Vectura, SEK 133 million in the quarter from Patricia Industries. Christian talked about EQT performance, and we can see here that the fund investments were flat. But again, this is reported with 1 quarter lag, and EQT actually reported this morning and the key funds seem to have had a positive development in the third quarter. EQT AB, of which we own 14% had a strong performance in the quarter, up 11%. On the right-hand side, you can see the cash flow to Investor and it improved in the quarter as proceeds were larger than the drawdowns. And looking at net cash flow to Investor from EQT over the years, we can see that it is lumpy, but on average, the net cash flow has been over SEK 2 billion. And our outstanding commitment to EQT is SEK 18.2 billion as per the end of the quarter. Our balance sheet remains strong. You can see here on this graph that our leverage is at the low end of the range, 0% to 10% is the target range, and we are at 1.4% leverage. We have strong ratings from both rating institutes, Standard & Poor's and Moody's. And the average debt maturity of our debt portfolio is more than 10 years, and we have no repayment due until 2029. This is the final graph, and it shows our Investor AB share performance compared to our internal return requirement, but also to our benchmark SIXRX. And you can see from this graph that we -- the share has managed to outperform both our internal return requirement and the SIXRX for the short and the long term. And on that happy note, I hand over to you, Jacob.
Jacob Lund: Thank you.  Thank you very much for that, Helena. Thank you, Christian, as well. Now ready to take your questions, and we'll start by the questions through our operator.  So Sharon, please.
Operator: [Operator Instructions] And your first question comes from the line of Linus Sigurdson from DNB Markets.
Linus Sigurdson: I had a few questions on Piab, if I may. So Piab made a few substantial acquisitions in the quarter. But could you help us understand sort of what your vision is for that company in the slightly longer term? Is this the company where you see the most continued opportunities for M&A? What kind of M&A should we expect going forward?
Christian Cederholm: Okay.  Thank you for the question. Thanks for the question. So as you point out, Piab has made a number of acquisitions since we acquired it in 2018. And we think that it is particularly fit as a platform for expanding. what we put in structure after the acquisition was a more business area-based structure where each business area is now responsible for their P&L and to drive that organically, but also for scouting and executing together, of course, with us and Patricia add-on acquisitions. And it's encouraging to see that in all 3 business areas, there are good opportunities for continued growth, again, both organically and by way of add-on acquisitions.
Linus Sigurdson: Okay.  And then just a clarifying question on Piab. You talked about a stable margin there. Are you referring to sequentially in the quarter? Or is that year-over-year?
Christian Cederholm: That is the year-over-year adjusted for the one-offs that we call out.
Operator: Your next question comes from the line of Derek Laliberte from ABG Sundal Collier.
Derek Laliberte: So I wanted to ask on M�lnlycke, you mentioned the strong growth in the post-op and prevention segments within Wound Care here. I don't think you've talked about these specifics before. So I'm wondering if the performance of the segments stand out versus recent quarters? And what's driving this? Are you carrying out any specific sales initiatives? Or is it the product launches you mentioned within these areas? Or is it just higher demand?
Christian Cederholm: Thank you.  So we don't bring it up because it necessarily stands out compared to recent quarter. It's more as a theme where we see that new products in combination with relentless effort on the sales side really pays off over time. And these products are not -- to be clear, they are not launched this year or even last year, but they are in a M�lnlycke perspective and in a wound care perspective, relatively new products that are meaningfully contributing to the growth. So we wanted to highlight that. And again, it's that combination of really good innovative products and a very strong commercial and go-to-market operations as well.
Derek Laliberte: Great.  I think you mentioned some new products in what area are they in?
Christian Cederholm: I think the new products that we call out are, for example, the prevention products -- it's just a clarification that new in this world of Advanced Wound Care doesn't mean necessarily last quarter, but rather on a relative basis, new. Is that -- does that clarify?
Derek Laliberte: Yes, that's very clear. And you mentioned also some increased logistic costs there impacting the margin here. Is that a general thing now? Or is it relating to a specific area or region?
Christian Cederholm: So we flagged this a little bit last quarter as well that during the latter part of Q2, we started to see increasing logistics costs. And it is, of course, related to in part the situation in the Middle East. and the higher container rates that has followed. They are now -- if you look at the spot price, they are -- they have come down slightly, but it's not always that the -- our cost track 1:1. But that is what we're referring to here primarily. Helena, do you want to add?
Helena Saxon: No, I think that's fair answer.  Good answer.
Derek Laliberte: Okay.  Got it.  And switching to Laborie here, obviously growing exceptionally strongly here with 25% organic growth in Q3 driven by Optilume. Can you say something about how sustainable is this growth? And how should we think about this going forward given this significant uplift this year versus previously in organic growth?
Christian Cederholm: So without guiding on the future growth rates, what I would say is that you have 2 Optilume products. One and the first launch was for urethral strictures and the other one is for BPH. Now for urethral strictures, we are seeing continued good pickup, good acceptance with doctors, with patients and with key opinion leaders. And we think that we have good runway for continued growth here. The other one for BPH is, on a relative basis, more recently launched but are seeing some positive early signs as well.
Derek Laliberte: Great.  And finally, on Sarnova here, also had a strong quarter, while you're mentioning this lower demand within cardiac response. I wanted to ask if this is relating to AED sales and in that case, what is driving the lower demand?
Christian Cederholm: It is related to AED sales. And what we've seen, and this is a market phenomenon is slightly lower sales and some destocking with distributors.
Operator: Your next question comes from the line of David Johansson from Nordea Markets.
David Johansson: I have 2.  So first one on M�lnlycke. I think growth to me looks quite strong and also up against quite tough comps looking at last year. And then it's also encouraging to see your comments around Wound Care and also OPS (sic) [ ORS ] But if you could elaborate a bit on the strength for the business areas and also the dynamics in your different markets, thinking about Europe and U.S. then specifically, that would be great, starting off there.
Christian Cederholm: Sorry, yes, so I get the question right. Are you asking about more details on the geographical split of the growth?
David Johansson: Yes.  And also for the different business areas, thinking specifically about the Wound Care and Operating Room Solutions.
Christian Cederholm: I think we'd rather not go into too much detail on the regions other than saying that all major regions contributed. And then, of course, you can draw your own conclusions. On Wound Care, as we said, it's across regions and across product assortment, but with a number of recently launched products, relatively recently launched products contributing significantly. Then on the ORS side, what we continue to see is that we see contribution from both volume mix and price. So that all helps with growth. And as you know, there on a regional basis, that is not so much a U.S. business, but rather a European and Middle East business. And if I were to say sort of one more thing maybe on Operating Room Solutions. We continue to see that the Trays solution that we offer continue to gain good traction in the market.
David Johansson: Added a clarity there. And I also wanted to follow up on the margin for M�lnlycke. I guess, given the very strong utilization here, I guess I was surprised to see the margin down a bit in the quarter. I think you had some comments in the report as well. But would you say this is mainly currency effect and also the R&D, which you have talked about, I think, in the last telco and also see your comments around logistic costs as well. So if you're able to provide some color on that, I think that would be helpful.
Christian Cederholm: No, as you point out, there are a couple of negative effects weighing on the margin, including FX and also logistics cost. But I think underlying what we see here and dynamic is one where we have a strong solid margin, not the least on the Wound Care side. And as we grow, we use those proceeds to reinvest in the business for continued future growth. And that includes R&D, as you say, but also other areas, including commercial and sales force.
David Johansson: Maybe if I can follow up on antiseptic specifically. I think that's been a loss-making unit, I think, looking back at least last year. So is that back to profitability now? Or how is that going?
Christian Cederholm: So without going into the profitability of each business areas, our focus and our approach when we have an underperforming business to take it step by step, stability, profitability and then growth. I think what you see here is that we have issues historically with our supply chain. And those, I think, have been largely resolved, and that is what is reflected in this report.
Operator: We will now take the next question and your next question comes from the line of Oskar Lindstrom from Danske Bank.
Oskar Lindström: All right.  Three questions from my side. The first one -- 2 ones are on M�lnlycke. Just a follow-up on the previous answer. The logistics cost lag, which you mentioned, and that spot rates have come down, does that mean that we should expect logistics costs to come down in Q4 versus Q3? Or is there sort of more lag, which means that they'll keep rising in Q4? That's the first question.
Christian Cederholm: So my comment was rather related to what we have seen in Q3. And in part, that was the effect of the increased spot rates on container freight. As we look forward, there are plenty of challenges that remain. We had, for example, the harbor strike on the East Coast of the U.S. The full effects, even though it was relatively short, we're still, I guess, to see how the full effect pans out.
Oskar Lindström: Good.  And then now 2 questions on acquisitions. First, on acquisitions in M�lnlycke, are you looking for acquisitions here? Or would they be in existing categories in which you operate? Or are you also looking to -- do you see a potential in adjacent categories where you're currently not present?
Christian Cederholm: We are looking at investment opportunities or add-on opportunities in M�lnlycke as well, and you've seen some of them materialize in this year. We are always, first and foremost, focused on building and supporting the existing business areas, but generally open to adding new areas as well if we see a good reason for doing so. But primary focus is to support and build what we have.
Oskar Lindström: Yes.  And then just finally on acquisitions for Patricia Industries as a whole. This is something that you and your predecessor have talked about being primarily, I think, interested in adding something on the industrial side. Is this -- how is this progressing? Or what's the outlook here and your thoughts?
Christian Cederholm: So it's no change from recent quarters. We continue to be focused on, first and foremost, supporting our existing business. And we've also said that we are open for adding new platforms, one of the focus areas being within Industrial Technology in Patricia Industries. And I think it's fair to say we have a great financial flexibility, but we are in no stress whatsoever. Helena, do you want to add?
Helena Saxon: No, you're right.  We have a very strong balance sheet and can act if we find attractive opportunities.
Oskar Lindström: So you don't feel that there is a change in sort of market dynamics with sort of interest rates coming down and perhaps increasing competition for targets? Or is there any change in that sort of M&A market for you?
Helena Saxon: I mean the quality assets that we look for are always -- they tend to be in very competitive situation. So I don't see any big change there.
Operator: We will now take the next question and your next question comes from the line of Johan Sjöberg from Kepler Cheuvreux.
Johan Sjöberg: If I may start off with asking Helena on EQT funds. I'm trying to find -- I'm looking through the report here, but I'm obviously not -- I can't find the sort of the value change. So if you would have the most recent value on the EQT funds here, what would that be since you look...
Helena Saxon: I knew someone would ask this. It's not that easy to answer because what we see in the quarterly report from EQT today is, of course, in euros and we report their development in SEK. And then what we see in the report is the key funds development, and we have exposure to more funds. So I can't give you a straight answer on that. I'm just saying that the quarter lag that we have showed a flat development. And what we saw this morning was somewhat more positive. But to translate that here and now, we can't really do that unless -- until we have all the numbers. And that will -- you will see that in Q4.
Johan Sjöberg: Yes.  Well, something to look forward to then.  If I then look...
Helena Saxon: Like Christmas.
Johan Sjöberg: Exactly.  Can I ask you -- looking at Laborie here, and I would like really to dig in a little bit on these positive trends that you are talking about here. And forgive me for not being sort of fully up to speed sort of the underlying -- how this market develops here. But if you look at the sort of urethral product here. Where is that sort of -- it would be interesting to hear where -- how much have you sort of touched the market? And just because you're sort of highlighting that it will continue to be on good levels here. But where are we sort of in this sales team process here? How long can this continue? Are we just in the beginning? That would be interesting, first of all, to hear your comments on that one, Christian. And forgive me for not pronouncing anything right here.
Christian Cederholm: Thanks, Johan, for the question. We are in relatively early innings of launching and rolling out a product that we believe is superior from a clinical perspective not the least by reducing the scarring tissue that otherwise comes after fixing a urethral stricture. So there should be good runway. I think it's important to say also that it's not only the Optilume products that contribute to growth in Laborie, but also the underlying or other business.
Johan Sjöberg: Yes.  But I would suspect, I mean, the '25, I remember I asked you [indiscernible] but the same question on this. When the Optilume started to be launched, it took a couple of quarters, and then you saw this rocket sort of growth in Laborie. And I think right now, I mean, we are at such levels that trying to predict this is pretty hard, I must say. So -- but I get it that this part of the Optilume product will continue to be solid and I interpret your answer that sort of this will continue in the foreseeable future. Am I -- is that fair to assume?
Christian Cederholm: Well, I'm not actually saying that we know it will continue in the foreseeable future, but rather that it is in a relatively early stage, which means that if we are successful, there should be a good runway. But it's also important, and that comes a little bit with being early on that it can be quite lumpy as well.
Johan Sjöberg: And then just turning then focus on the BPH, that's much easier to pronounce.  Where are we here?  And sort of if you look at these -- if you were to sort of compare these 2 products, after listening to your capital review a couple of years ago, I think you highlighted the BPH market is actually bigger or potentially bigger than the other one, which I'm not going to try to pronounce. How -- is that fair to say that?
Christian Cederholm: That is probably a fair comment. And I think my answer to the first question is I'll stick to say myself that we're earlier in BPH than in urethral strictures.
Johan Sjöberg: And if we look at sort of the growth pattern or sort of the sales process when you're comparing these 2, I mean, if I remember correctly, it took like 2 quarters before you started to see the impact on Laborie's organic sales from the first product. Is that sort of how we should -- if you're successful, I'm saying if, so you are free to answer basically here. But would that imply like a lag of 2 to 3 quarters before we start to see potentially the impact from BPH?
Christian Cederholm: I prefer not to go into that level of detail because, again, the team is working full on with launching and rolling out this product ultimately to the benefit of patients. And it's really -- it's hard work and not everything is within our own control. So we will come back and comment on that once we do.
Johan Sjöberg: Yes, I get it.  No, I understand that. Then if I may turn focus on to Piab. You made a lot of acquisitions here, which -- and they look very strong here. But I'd like to sort of zoom in a little bit upon the organic growth here. And just also here coming back to your earlier presentation, which you had a couple of years ago. And you had a financial ambition here to double sales in 5 years. And from an M&A point of view, you seem to be on track here. But when I look at some of your slides here, you highlighted you would expect to see double-digit organic growth in Piab. And to be honest, I haven't seen that. It's been more like mid-single-digit organic growth. Is that sort of -- and I understand that this is a long-term ambition. But is this sort of the -- I mean, how do you see yourself looking at Piab's performance on organic growth when compared with your ambitions a couple of years ago? I would like to hear a little bit about that.
Christian Cederholm: I am not quite sure what the guidance or ambition you are referring to. But let me comment on the 5% here. Again, as we said, it's relatively broad in terms of regions and business areas. with an extra contribution from lifting automation. And I think where we are in the cycle, we are seeing, and that's a little bit what we referred to in our macro comments as well. We are seeing a number of segments of the market that are in, let's say, a softer cycle or a softer part of the cycle. And I think if you look at, for example, ABB this morning, you also see some comments around machine builders and discrete automation, for example.
Johan Sjöberg: Got it.  And then just from that sort of angle, would you say that Piab is early in the cycle or in the middle of the cycle or sort of later? How -- where do you see Piab-based products and sort of looking at like a business indicator?
Christian Cederholm: I think, Johan, with all due respect, you probably know where we are in the cycle better than we do. I mean we showed the organic growth numbers, and we try to comment where relevant and where we can. But our crystal ball is at least as cloudy as anyone else's. So we just work to make sure that we can deliver a good solid result also in this slightly tougher market.
Operator: [Operator Instructions] And your next question comes from the line of Andreas Lundberg from SEB.
Andreas Lundberg: Andreas from SEB here. You mentioned a lot about what you want to do with Patricia capital allocation. But can you talk a little bit more about it on a group level, where you see most opportunities right now and also perhaps given your very strong financial position, where do you see an optimal balance sheet given your track record of allocating capital?
Helena Saxon: Thank you.  That's a good question. And we have, for a long time, talked about allocating capital where it generates the best returns. Often, we have also said that in the private market, there have been more opportunities for us. So investing in the subsidiaries in Patricia Industries, not least through add-on acquisitions, but also adding new platforms is a general theme that we have had over the years. You're right that we have a very strong balance sheet and leverage is, as I said, at the low end of the target range. The target range is there for a reason that we don't have a particular point in that range that is optimal. But when we find opportunities, we are very happy to have a strong balance sheet that we can use and allocate capital, as I said, where it generates the best returns.
Andreas Lundberg: Okay.  So you don't see that stress or something like that?
Helena Saxon: No, we're not in a hurry. We try to make sure that we acquire the best companies at the best valuations.
Christian Cederholm: And I would add that interestingly, if you look over the years, we have invested and we continue to see opportunities really in all 3 business areas. And then as you say, Helena, as for the short- and medium-term pipeline, it's been more focused on wholly-owned.
Operator: There are currently no further phone questions. I will hand the call back to Jacob.
Jacob Lund: Thank you very much, Sharon. And let's then take the questions from the web. We have a couple of questions here, one from [indiscernible] Investment. I believe you are investing more in Patricia Industry companies due to higher expected returns. How do you think about your listed companies? Will you increase your stake in these companies? Or will Patricia be the biggest contributor to the company in the future?
Christian Cederholm: I think we are well timed because that's really what we just talked about. And we continue to see good opportunities in all 3 business areas, and that's also what the track record shows. We invested SEK 2.8 billion in Ericsson last quarter in Q2. And over the last couple of years, I think since 2015, we've invested on average SEK 2.6 billion in listed companies per year. And so we're seeing it across all.
Helena Saxon: Yes, with great returns.
Christian Cederholm: With great returns.
Helena Saxon: Yes.  And I think one of the -- the question is formulated so that it sounds like we invest in Patricia because we believe we will have greater returns. But one of the fundamental reasons for why we built the private portfolio is to have proprietary cash flow. And that gives us the financial flexibility to acquire companies when we see opportunities, and we don't have to sell something to release the cash for that. So just to point that out that it's also about the cash flow.
Jacob Lund: Good point.  Thank you very much. Then [indiscernible] has 2 questions. One, why can you try to explain why you can invest in EQT without carry? And secondly, what is M�lnlycke's response to the new wound care technology based on fish skin. It seems to be very successful. I don't know if you want to take the EQT.
Helena Saxon: We point that out here in the presentation.  It's nothing new.  We've always had that possibility, and it comes from legacy, the fact that we were part of the founding group in 1994. So we've always had this opportunity or ability to invest without carry. And I think it's great for investors to have that possibility, and it gives us a better return. So it's for historical reasons is the answer. And on fish skin, please...  Christian?
Christian Cederholm: I think what is referred to here is basically one type of skin substitute. And that is a common and well-known product or category within wound care. Some of the skin substitutes go, for example, to burn treatments. M�lnlycke has not chosen to invest into skin substitutes. And so we're not in that market.
Jacob Lund: Then we have a final question from [ Emmanuel Besson ] about Husqvarna. How do you see the coming future of the company, particularly given the competitive landscape?
Christian Cederholm: I can start.  I mean we -- you mentioned, Helena, the profit warning this quarter. And what that really is a reflection of is, of course, very harsh market environment right now, not the least with consumers, but also with construction companies that are spending less basically. The company is taking the right actions, including accelerating the cost initiatives to mitigate and to protect the bottom line at this point and continue working with their existing and new assortment of really innovative products. And ultimately, that is, we believe, where the better will be.
Jacob Lund: Very good.  I can't see any further questions, and that means that it's time to conclude this call. Many thanks to Christian, and thanks to you, Helena. Our next scheduled call is the year-end report comes on January 23. And until then, thank you, and goodbye.
Christian Cederholm: Thank you all.
Helena Saxon: Thank you.